Operator: Greetings, and welcome to the TDS and U.S. Cellular Third Quarter Operating Results Conference Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions). As a reminder this conference is being recorded. I would now like to turn the conference over to your host, Mr. Jane McCahon, Vice President of Corporate Communications. Thank you, McCahon, you may now begin your presentation.
Jane McCahon: Thank you, Rob and good morning everyone. Thanks for joining us. I wanted to make you all aware of the presentation we have prepared to accompany our comments this morning, which you can find on the Investor Relations sections of the TDS and U.S. Cellular websites. With me today in offering prepared comments from TDS are Doug Shuma, Senior Vice President and Corporate Controller; from U.S. Cellular, Ken Meyers, President and CEO; Steve Campbell, Executive VP and CFO; and from TDS Telecom, Vicki Villacrez, Vice President, Finance and CFO. This call is being simultaneously webcast on the TDS and U.S. Cellular Investor Relations websites. Please see the websites for slides referred to on this call, including non-GAAP reconciliations and EBIT to EBITDA reconciliations. The information set forth in the presentation and discussed during this call contains statements about future expected results and financial results that are forward-looking and subject to risks and uncertainties. Please review the Safe Harbor paragraphs in our press releases and the extended version in our SEC filings. Shortly after we released our earnings and before the call, TDS and U.S. Cellular filed SEC forms 8-K, including today’s press releases and their SEC Form 10-Q. Taking a quick look at upcoming conferences; TDS will be presenting at the Wells Fargo Conference on November 12 in New York and the Citi Conference on January 6th in Las Vegas. Please let us know if you’d any like information about these events. And keep in mind that we have an open door policy. So if you are in the Chicago area and would like to meet with members of management the IR team will try to accommodate you, calendars permitting. Before we turn the call over to Ken Myers, Doug Shuma will review through third quarter accomplishments at the enterprise level. Doug?
Douglas Shuma: Thanks Jane. Turning to slide four, we continued to execute on our capital allocation strategy and a review of our portfolio to improve performance. In the quarter we returned value to our shareholders in the form of $10.7 million in TDS share repurchases and another $14.5 million in dividends. U.S. Cellular repurchased $6.5 million of its shares. U.S. Cellular continues to look for opportunities to monetize its non-strategic assets and the company entered into spectrum exchanges with our carriers in the quarter. U.S. Cellular is transferring 148 million megahertz/pops of non-operating market licenses and receiving 46 million megahertz/pops of operating market licenses in addition to receiving a $145 million in cash. We expect these transactions to close in 2015. As to the sale of the non-core towers the process is moving forward with substantial interest. I hope we can finalize a deal by year end but given the interest we’re seeing it may take longer. There are a couple of unusual accounting items in the quarter. Due to a decline in forecasted revenue and earnings of TDS Telecom’s HMS reporting units compared to prior forecast, TDS determined an interim impairment test of HMS goodwill was required. As a result of this impairment test the company recorded an $84 million non-cash goodwill impairment charge. We also recorded $30 million of tax expense at TDS related to the net impact for adjusting valuation allowances on deferred tax assets. I also wanted to update you regarding our evaluation of using a REIT structure for our wireline network assets. After [realizing] that we will have a modest benefit versus the operating and regulatory complexities we will not actually proceed with this structure at this time. And now I will turn the call over to Ken Meyers. Ken?
Kenneth Meyers: Good morning. I’m very excited to talk about the progress we’re making on our top two strategic priorities at U.S. Cellular, namely growing our customer base and driving revenue growth. As we discussed and as shown on slide six, driving subscriber growth is our number one priority. This is a function of both increasing gross ads and managing downturn and we are having success at both. We have now recorded four consecutive months of postpaid subscriber growth and we believe this a critical turning point. The investments we have made including improving our network quality with deployment of 4G LTE, adding the iPhone and other iconic devices such as the new Samsung Note 4 to our portfolio and upgrading our system capabilities to enhance our ability to offer new products and services are all beginning to generate the expected benefits. We are attracting an increasing level of new and returning customers to U.S. Cellular. Postpaid gross additions for the third quarter increased 52% over last year and 32% sequentially. While the comparison to last year is made easier by our billing system conversion which began last year, the 32% quarter-over-quarter increase is a real reflection of both our improved competitive position in the marketplace as well as our improved execution across the organization. Recently almost one out of every four gross additions is a previous customer. Let me take a few minutes to talk about some of the factors that are helping us to win over and in many cases win back customers to U.S. Cellular. A significant factor in our year-over-year improvement in activations was due to the addition of the iPhone to our device line up which was new to us in last year’s fourth quarter, well after the other carriers had launched. This year we launched the VI and the VI Plus at the same time as the national carriers and we are pleased with the results. The mix of iPhones in our sales increased this quarter, due to both the launch of the new phones, but also as a result of back-to-school promotions designed to clear out older models. As a result iPhones represented almost 30% of device sales this quarter. Also our shared data plans which we call Shared Connect now account for 35% of our postpaid customers, up from 22% in the second quarter. And average devices per account rose sequentially to 2.36 devices per account. We’ve seen great take rates on these plans reflecting the underlying trend of smartphone adoption combined with strong growth in data consumption. Early in the second quarter we introduced our equipment installment plans or EIP plans. We have continued to see steady adoption of these plans. 38% of smartphones sold to customers in the third quarter were on EIPs. That rate increased throughout the quarter and has recently been holding steady between 40% and 45%. While the sales team is having success building the top of the funnel other parts in the organization are intensely focused on serving our customers and thereby reducing churn and we’re making good progress along that front also. I know Steve will talk about churn but the headlines are churn continues to improve as customer service levels have returned to our traditional high standards and we have the products and pricing our customers want. Postpaid churn in September was down to 1.5% and we need to drive that even lower in 2015. Moving to slide seven, in order to improve margins overtime we must not only grow our subscriber base we must also drive additional revenue growth. The improvement in our smartphone portfolio has accelerated smartphone penetration and now stands at 58%. Our Shared Connect data plans are being well received by customers and should allow us capitalize of skyrocketing data consumption. Connected devices provide an opportunity to increase data usage and revenue per account without significant subsidies. EIP plans have proved very popular with consumers even though they move amounts around on the financial statements making analysts jobs even harder. Both smartphones and connected devices are translating into an additional data usage and revenue with postpaid average revenue per unit still up 3% over last year despite the very competitive pricing environment and the impact of the EIP plans. On the network front we are rolling out our [wave for deployment] of 4G LTE and we’ll complete that early in the first quarter reaching some 93% of our customers and 88% of our cell sites. We’ve been very successful migrating customers to 4G LTE. Currently 54% of our post pay customers have 4G capable devices and 74% of our data traffic is now on that network. We continue to work towards 4G LTE roaming agreements. Technical trials are complete and we are now negotiating commercial terms. We will be participating in the upcoming AWS auction with our business partner [advantage partners] but beyond that we are precluded from making any additional comments due to the FCC rules. All-in-all we are making very good progress. We still have much to accomplish in terms of financial performance, but stabilizing our customer base was job one. We have accomplished that and we are now growing our customer base once again. With a growing customer base and increasing average revenue per customer and per account, our next priority growing revenue is within our sights. Our entire organization should be proud of results of their efforts to-date to make this happen. I know I am and we look forward to a very successful holiday season. Now let me turn the call over to Steve Campbell.
Steven Campbell: Good morning. I’ll begin with a few comments on customer results shown on slide eight. Postpaid gross additions for the third quarter of 2014 were 261,000, an increase of 52% from 165,000 a year ago. As Ken said last year’s results were impacted to some degree by the issues associated with the billing system conversion. When looked at in relation to the second quarter of this year, postpaid gross additions were up 32% sequentially. The mix of the gross additions was 67% smartphones, 12% feature phones and 21% connected devices, primarily tablets. Postpaid churn for the quarter was 1.6%, down from 1.7% last year resulting in postpaid net of additions of 52,000 for the quarter a dramatic improvement from net loss of $60,000 customers a year ago. In the prepaid segment there was a net loss of 2,000 customers compared to a net loss of 11,000 last year. The improvement resulted primarily from lower churn. The retail customers in total [moved up], there were net additions of 50,000 this year compared to a net loss of 71,000 last year. I want to say a few more words about postpaid churn. The chart on slide 9 shows postpaid churn for the period beginning in January of 2013 and continuing through the end of the third quarter of this year. As you can see churn peaked at about 2.4% in February and has continued on a downward trend to 1.52% in September. This improvement is due to some of the same factors that are driving the growth in gross additions as well as the efforts of our associates to rebuild the U.S. cellular reputation for exceptional customer service. The net result of these improvements was return to positive postpaid net additions for the past four months. Slide 10, shows the historical trends in smartphone sales and penetration in our current markets. During the third quarter we sold 509,000 smartphones, which represented 81% of total handsets sold and 73% of total devices sold. A year ago smartphones were 65% of the total devices sold. Smartphone penetration increased to 58% of our postpaid subscriber base, up from 47% a year ago. So we still have a substantial number of postpaid customers with basic phones which provides us with a good opportunity to upgrade these customers to smartphones and drive additional data usage revenues. We’re also seeing good progress in the adoption of 4G technology. As Ken said at the end of the third quarter 54% of our postpaid customers had 4G capable devices. This is an important point. It means that the 54% of our customers have devices that are capable of providing them with a high speed 4G experience at a best-in-class network. On the network front we expect to complete [third phase] of the deployment early in the first quarter of 2015 at which time we’ll be covering 93% of our customer and 88% of our cell sites with 4G LTE technology. Currently about 74% of the data traffic is on this network. We expected the higher smartphone penetration that we’re seeing when combined with our Shared Connect data plans will allow us to capitalize on the continuing growth in data consumption. The penetration on these plans is now 35%, up from 22% last quarter and we’re pleased with the results that we’re seeing with respect to the mix or shared data packages being selected by customers. These activities are translating into increased revenue per customer as shown on slide 11. We are now showing both traditional ARPU average revenue per user as well as ARPA, average revenue per account. Postpaid ARPU grew by 3% year-over-year to $56.37 despite the competitive pricing environment and the effects of equipment installment plans which provide customers with discounts on normal service plan pricing. The chart for ARPU at the left shows a small sequential decline of about $0.45 or just under 1%. This reflects the fact that almost two-thirds of our recent net adds have been connected devices which have lower connection charges than handsets. Together with the impact of the equipment installment plan discounts that are offset by higher equipment revenues, we estimated the impact of the equipment installment plan discounts on ARPU for the third quarter was $0.81. So if we adjust it for that impact we’d actually see sequential growth in ARPU of about 1%. For ARPA we’re seeing both year-over-year growth at 8.5% and sequential growth of about 1%. This metric is important as it illustrates the increasing adoption of shared data plans and the increasing number of devices per account. Here I should also point out that the ARPU and ARPA metrics shown are calculated using billed service plan revenues and therefore do not reflect the monthly equipment billings to customers who are on equipment installment plans. In the third quarter these monthly equipment billings totaled about $16 million and are approximately $19 million year to date. Slide 12 provides a few additional metrics related to the equipment installment plan sales. During the quarter we had about 238,000 installment transactions for which we recognized just over $78 million of equipment revenue. And at September 30th, our balance sheet reflected approximately $129 million of accounts receivable, a portion classified as short term and the remainder long term as well as $44 million of deferred revenue and imputed interest related to these transactions. During the third quarter we recorded bad debt expense of $4.1 million related to equipment installment plan sales. Given our limited historical experience to-date related to customer payment performance under these agreements we’ve provided allowances at the uncollectable rates that you had experienced historically for other customer accounts. Acknowledging that’s still early we haven’t observed any unusual non-payment activity among equipment installment plan customers. So turning now to our overall financial performance. Total operating revenues for the third quarter were approximately $1 billion, up 61 million or 7% from a year ago. As to the components, service revenues were approximately $851 million, down $11 million or 1% from last year. The majority of this reduction occurred in retail service revenues as the impact of our previously shrinking customer base and impact of equipment installment plans offset the growth in ARPU that I just mentioned. Importantly, service revenues are up $8 million from the previous quarter and we expect them to continue to grow as we rebuild our customer base. Inbound roaming revenues decreased $5 million or 8%, due primarily to lower roaming rates. We did not see a corresponding decline in roaming expense however as data usage climbed causing a $4 million increase in roaming expense despite the lower rates. We continue however to be a net receiver of roaming balance. We are continuing to work on establishing 4G roaming agreements. We’ll actually be launching 4G roaming with a small carrier in the next few weeks and although that agreement is not significant in the overall scheme of things it will provide us with valuable experience related to 4G roaming. Our discussions with our principal roaming partners are ongoing. The technical trials are now complete and we’re working on negotiating the commercial terms. Other revenues increased by approximately $3 million reflecting higher tower rent revenues. EPC revenues were essentially flat year-over-year about $23 million as the FCC’s phase down of Universal Service Fund Support has been suspended. As we mentioned during our call last quarter the FCC indicated at its open meeting in April that it intends to delay the next step in the previously announced phase down of USF support which was scheduled for July 1st of this year, while it completes its work on the phase two mobility fund. We don’t yet know any of the particulars of the FCC’s plans so we can’t predict either how long the delay will last or how the FCC will structure an administrative mobility fund. In that regard however we were encouraged by the letter sent recently to the FCC Chairman Wheeler by members of both the House of Representatives and the Senate. In their letter the members of Congress stated that the FCC rules for Mobility Fund 2 must fulfill all the Commission’s mandate to provide advanced telecommunication services in all region of the country and ensure that rural areas have services comparable to urban areas. We agree that the job of providing high quality wireless service in rural America is not completed and we look forward to working with Chairman Wheeler of the FCC and Congress on this issue in the coming months as deliberations continue. Equipment revenues grew to $149 million and increased – an increase of $72 million due primarily to the new equipment installed. Slide 14 shows additional financial information. In summary, adjusted income before income taxes for the third quarter of 2014 was a $127 million compared to approximately $195 million a year ago. The decline of approximately $68 million reflects the impacts of the smaller customer base, the first year impact of carrying the iPhone, along with continuing to migrate our customer base to LTE smartphones and the continuing rollout of LTE into the network. Breaking this down further our average customer base is about 5% smaller than a year ago resulting an estimated loss of $40 million of revenue on a year-over-year basis. Another major factor in the year-over-year change was loss on equipment which at approximately $158 million increased $42 million or 36%. LOE was driven by the continuing shift in mix in the sales of smartphones overall and sales of higher cost 4G devices including iPhones and of course by industry competitions. Some of the upward pressure on LOE was offset by the impact of the equipment installment plans which favorably impacted equipment revenues in the third quarter. Overall, on a net basis, the average loss per units sold increased by 13% from $192 to $216. We expect that equipment pricing will continue to be very aggressive across the industry in the coming months and that our cost will be impacted by the continuing shift in mix to smartphones overall and to 4G devices. However we expect to partially offset the high subsidies through programs such as equipment installment plans. System operation expenses of $200 million increased $22 million or 13% year-over-year. The increase is due to higher maintenance utility and cell site cost related to the expansion of the 4G network, as well as higher roaming expenses caused by increased data usage as I mentioned earlier. SG&A expenses of $398 million were down $13 million or 3% primarily due to lower consulting expenses, partially offset by higher selling and marketing cost related to the nearly 40% increase in retail gross additions and bad debt expense. I want to make just a couple of comments about U.S. Cellular’s balance sheet. Overall the balance sheet is sound. At September 30 cash and short term investments totaled $314 million and we had about $280 million of unused borrowing capacity under our revolving credit agreement. Now we’ve seen a nice reduction in accounts receivable from the year end level. We’re past the billing system conversion issues that drove higher than normal balances and improved cash collections over the past several months resulted in a reduction of $90 million in customer accounts receivable. That increase was partially offset by an increase in equipment installment plan receivables. We believe that existing cash and investment balances, funds available under our revolving credit facility and expected cash flows from operating and investing activities provides substantial liquidity and financial flexibility to meet our day-to-day operating needs. Additionally as Doug mentioned we continue to assess opportunities to monetize non-strategic spectrum holdings and we’re making progress on the monetization of the towers in the divested markets. However, these sources may not be adequate to fund all the future expenditures including spectrum licensing options that the company could potentially elect to make. Slide 15 shows our 2014 full year guidance. Although it’s late in the year we believe that there is still a fair amount of uncertainty regarding our full year results given the importance of the fourth quarter holiday season and the unpredictable nature of the potential promotional activity by competitors. We expect total operating revenues of $3.9 billion to $4.4 billion which is unchanged from the previous estimate. Note that we’re providing guidance for the total revenues rather than service revenues given the effects and increasing significance of equipment installment plan. We expect adjusted income before income taxes of $375 million to $450 million which reflects an increase of $25 million to the bottom-end of the range. The narrowing of the range reflects our actual results for the first nine months for the year. The guidance for capital expenditures is $600 million a reduction of 40 million from the previous estimate. Approximately half of the reduction reflects the total spending for our [multi-trial] to allow additional time for lab testing and increase device availability. Other factors include lower estimated expenditures for network capacity expansion and more efficient spending across a variety of network projects. Now I’ll turn the call over to Vicki Villacrez. Vicki.
Vicki Villacrez: Okay. Thank you, Steve. Good morning everyone. Starting on slide 17, TDS Telecom will continue to execute on our strategic priorities to drive growth in areas that will enable us to be successful and improve our returns. First, our wireline segment had another solid quarter. Our IPTV deployment continued to track above our expectations, due primarily to our ability to accelerate early sales to the fiber bill marketing campaigns as well as stronger take rate in our fiber market. We are very pleased with the uptake of IPTV and progressing with our plans to roll out new markets this year. We service TDS TV in approximately 13 markets serving 120,000 service addresses and expect to launch five additional markets before the end of this year, bringing our total service addresses to a 135,000 or roughly 19% of our total footprints. We have completed the build out of the majority of our broadband in U.S. market and continue to see strong broadband growth from these markets. Cost reductions had a meaningful impact in our overall possibility driving a 10% increase in adjusted income before income taxes which was essentially operating cash flow for TDS Telecom. This is the sixth consecutive quarter the wireline business has increased its EBIT year-over-year as the entire organization continues to stay focused on cost improvement activity. In our cable operations we close on BendBroadband on September 3rd and the integration is proceeding smoothly. This market comprises of 72,000 homes and has achieved high penetration of video, data and voice within this market. BendBroadband bring the experience and challenge of building an outstanding cable operation that will help us as we expand our cable business. Going forward all cable financials are reported in aggregate. However, we report penetration levels for the combined cable operation and then for Baja separately. As you may remember the investment case for Baja was predicated on its low penetration level and we want to be able to show our progress building penetration, especially with broadband. Our Hosted and Managed Services businesses OneNeck IT solutions continued to make progress on its mission to provide end-to-end IT solutions to mid-market customers. However as Doug mentioned at the beginning of the call we are now forecasting slower growth in revenue and earnings which triggered and impairment test and an $84 million non-cash goodwill impairment charge in the quarter. We’ve remain positive about the long-term growth potential in this business as mid-market customers pick up the pace of IT outsourcing and moving towards cloud and hosted solutions. Moving to the third quarter operating results on slide 18, we had very good quarter. First, we have excellent results from our wireline segment as expense reductions more than offset declines in wholesale and regulatory revenues. Second, our cable operations are positioned for growth. And third, acquisitions drove 74% revenue growth in our HMS segment and 20% growth in the service revenues. On a consolidated basis, TDS Telecom’s revenues increased 16% driven by both the Baja and BendBroadband cable acquisition and the MSN acquisition. Adjusting for the impact of these acquisitions, revenues were down 3% year-over-year. Adjusted income before income taxes grew 15% year-over-year to $73 million in the quarter, primarily driven by $6 million of increased contributions from the wireline operations and the $3 million impact from cable acquisitions. Without the effect of acquisitions the business grew its EBIT 9%. Looking at wireline results on slide 19, growth in data and IPTV on the residential side and managed-IP on the commercial side mainly offset the decline in legacy voice services keeping retail revenue for both residential and commercial flat. Wholesale revenues declined 6%, primarily as a result of the changes in a regulatory recovery and continued decline in minutes of use. As a result total wireline revenues declined 2% to a $178 million. However, due to cost control initiatives, SG&A declined 12%, and cost of services declined 5% from the same period last year. As a result, adjusted income before income taxes increased 10% and cash flow margins increased 420 basis points to 37.4%. Year-over-year we added 2,100 wireline residential broadband connections compared to last year with the ILEC adding 3,700 connections supporting a very high ILEC residential broadband penetration of 72%. This growth was driven by the new data services launched in stimulus markets as well as triple play sales with IPTV. We have nearly completed our broadband stimulus projects, providing service in 43 of the 44 markets enabling 32,000 service addresses for high speed broadband. As shown on slide 20, residential broadband customers are increasingly choosing higher speeds in our ILEC with 39% choosing speeds of 10 megabits or greater, which is up 32% from last year, driving increases in average revenue per connections. We’ve been very pleased with the overall IPTV uptake and average revenue per connection results. IPTV connections grew over 70%, adding 8,500 subscribers compared to the prior period last year. As I said earlier we attribute a lot of our success to early take rates from our fiber bill marketing campaigns which encourage customers to order service in advance of turn up. In our newer fiber markets we are offering up to 300 megabit per second data speeds and everywhere we have fiber in our IPTV markets we are beginning to offer up to 1 gigabit service. 97% of our IPTV customers are taking a triple play bundle and our churn remains very low at roughly 1.5 of a percent. As you can see in the table on the right of the slide, average revenue per residential connections increased slightly as increases from the IPTV rollout and higher speed data services were offset by declines of our legacy voice services. As shown on slide 21, we increased connections from our commercial voice and data communications solutions managed IP 14% year-on-year. We continue to target larger commercial customers which results in higher connections per customer and higher revenue per connection. Looking at the cable segment on slide 22, these results reflect the fourth quarter of operations of Baja’s which was acquired on August 1, 2013. And they also reflect one month of operation for BendBroadband. Since we have own Baja we have seen growth of 16% in voice and 17% in broadband connections, more than offsetting the decline in video connections. Adjusted income before income taxes was 5 million which included $1 million of transactions and transition cost related to the BendBroadband acquisition. Turning to the HMS segment, on slide 23, we continue to focus on the organic growth in recurring service revenues which includes co-location, cloud services, application management and managed hosting services. Growth in revenue was 5% for the quarter. The acquisition of MSN, our Denver-based solutions provider on October 4, 2013, increased revenues by $32 million and revenue decreased 8.5% excluding the impact of acquisition primarily due to lower year-over-year equipment sales. The acquisition of MSN added $31 million of cash expense without the acquisition cash expenses decreased 7%, which was due to the lower cost of goods sold due to lower equipment sales and partially offset by increases in maintenance costs associated with our datacenters. The combination of the revenue expense changes impacted adjusted income before income taxes positively in the quarter. As slide 24 shows, we’ve adjusted our TDS Telecom guidance upward to revenues, adjusted income before income taxes and CapEx to reflect acquisition of BendBroadband, a couple of small cable tuck-ins and the success of our wireline results. Revenues of $1.075 billion to $1.125 billion are up $25 million reflects revenues from our cable acquisition. We increased the range for adjusted income before income taxes to $275 million to $300 million to reflect both the operating cash flow from our cable acquisitions and our strong operating results through September in the wireline segments. Our total capital expenditure guidance was raised from $200 million to $210 million which includes the transition projects connecting BendBroadband to our multi-gig network upgrading the plant facilities and our smaller tuck-in acquisition and to fund success based capital. Now I’ll turn the call over to Jane.
Jane McCahon: Thank you and Rob we’re glad to take questions right now.
Operator: Thank you, we’ll now be conducting the question-and-answer session. (Operator Instructions). Thank you. Our first question is from the line of Phil Cusick of JPMorgan. Please go ahead with your question.
Unidentified Analyst: Hi, good morning. This is [Angie] for Phil. First, congrats for a good quarter. A couple of questions on U.S. Cellular if I may. And the first question is on gross adds, do you think you’re back to a normal gross add share and how is that rebound affected your share. And then I’ll ask my second question later.
Kenneth Meyers: Okay this is Ken thanks for the questions. Yeah, I think that we are getting back to more normalized levels of gross ads. I’m optimistic that there is more there yet but I’m happy at the levels that we’re at right now. JL been sitting here listening to my comments about more. But that’s just light, right. Sprint is not a main actor in our markets, they are significant in some of our markets, but overall our footprint out of total footprint they aren’t the main driver to our competitive activity.
Unidentified Analyst: Okay, that’s helpful. How about – how should we think about margin. Can you help give us some idea of whether this would be more normal margin or what will be the margin like in 2015 and long-term?
Kenneth Meyers: So we aren’t talking about 2015 guidance at this point. As we’ve said in the past turning around subscriber – the subscriber base that is starting to grow it our job one we’re starting to see that margin improvement will be driven as we start to grow revenue going forward now.
Unidentified Analyst: But then do you think we can expect 2015 to get back toward a normal year?
Kenneth Meyers: So we are – we aren’t really let me talking about 2015 at this point in time.
Unidentified Analyst: Okay, I understood. Thank you.
Operator: Our next question comes from the line of Sergey Dluzhevskiy with Gabelli. Please go ahead with your question.
Sergey Dluzhevskiy – Gabelli and Company: Good morning guys. Thank you for taking my questions. The first one is for Ken on the wireless side. Obviously you started selling iPhone 6 and 6 Plus in September. Maybe if you could share with us as far as how the device is tracking versus your expectations and maybe if you could comment on some of the supply constraints issues, how you are dealing with them and at what point of things they’re going to be resolved?
Kenneth Meyers: Yeah. Hi, Sergey, it’s Ken. We are quite happy with the launch of the iPhone 6 and the 6 Plus and meeting our expectations and relative to the supply constraints out there we’re seeing what everyone else is seeing actually. And it’s really along the lines of the larger gigabyte devices is where the constrain is, the 54 and 128 et cetera. We aren’t really constrained in the lower ones and we’re moving those through and obviously we are working very closely with Apple to get our position filled as fast as they can produce but we’re not seeing really from the constrain point anything different than any of the other major carriers.
Sergey Dluzhevskiy – Gabelli and Company: Okay. And a couple of questions on wireline side, more specifically on cable. So obviously you closed BendBroadband in September. What was the contribution for BendBroadband in the quarter and also if you could share your initial impression of the acquired properties maybe how is it compared to Baja, are seeing some different dynamics in place obviously but what are your thoughts on the BendBroadband and have you started operating the company?
Vicki Villacrez: Okay, so first let me share with you again we’re not going to be reporting our properties separately. Cable is going to be reported in the aggregate but let me just say BendBroadband brings to us some really nice attractive market. As I said they have high penetration they have enjoyed high penetration across voice video and data relative to the Baja market which are investment thesis was in those markets was well below – the penetration was well below the national rates. So we were really looking to increase our penetration rates in Baja. We will be reporting on those separately so you can see their progress and Bend again those markets are very attractive and we are projecting stronger household growth than the national average and expect to get a good share of that flow share. What we are seeing in Bend again is I shared the Baja growth rates what we’ve seen just over the last year they’ve been trending, they have 7% growth in their voice product, 4% growth in their data and a much lower declines than we are seeing in Baja on the video.
Sergey Dluzhevskiy – Gabelli and Company: Okay. And also a broader question, I guess on cable acquisition. So far you are done two deals about $260 million, $270 million in size $70 million to $80 million in revenues. As you look at future acquisition opportunities are you looking at companies of about the same size maybe also a little bit bigger, little bit smaller or do you see yourself doing a meaningfully, a larger cable deal, maybe twice the size or three times the size of Baja or Bend, and also just in general what are your main criteria for cable acquisitions because obviously Baja and Bend were both attractive, just I want to find as far as why they are attractive to you guys?
Vicki Villacrez: Yeah. So the opportunities are opportunistic, we’re looking at all opportunities that are out there but I can’t comment or quite frankly can’t control the pipeline with I think we’ve been consistent in saying we’re looking to grow cable in a meaningful way and would love to find properties that are similar to what was acquired so far and that is properties that have strong household growth projection and have the opportunity to grow and improve data and voice services. Looking for – certainly we would love to see the upgraded networks but that doesn’t necessarily mean that it has to be upgraded. We got to make the economic work and I think that I had shared with you in the past we do long term growth projections and DCF models to make sense of the returns.
Sergey Dluzhevskiy – Gabelli and Company: Okay. Thank you.
Operator: (Operator Instructions). Your next question is from the line of Simon Flannery with Morgan Stanley. Please go ahead with your question.
Unidentified Analyst: Hi. This is Daniel [Judith] for Simon. On the postpaid subscriber growth front you highlighted some solid postpaid churn improvements in September. Can you provide some color on what you are seeing in October? And then separately, can you provide some additional color on voluntary and involuntary churn trends especially since how they are tracking post the billing conversion and the recent heightened level of competitive activity? Thank you.
Kenneth Meyers: So I’ll let Steve talk about the differences that we’re seeing in voluntary and involuntary and we gave you the September data point just to show how net-net we’ve seen the evidence that the quarter improved. We continued to improve throughout the quarter. We aren’t going to get into talking about October and November results until we get through the end of the quarter but we’re happy with the trends that we’ve seen throughout the third quarter.
Steven Campbell: And as to voluntary and involuntary we’ve seen declines in both over the course of this year. For the first quarter our total churn was 2.3. It’s now down to about 1.6 and in terms of the basis point improvement we have seen reductions in both voluntary and involuntary…
Unidentified Analyst: Thank you.
Operator: Thank you. Our next question is from the line of [inaudible] with Raymond James. Please go ahead with your question.
Unidentified Analyst: Hey, guys. Thanks for taking my question. Definitely correct that the whole EIP plan is not making modeling any easier but with the 38% of postpaid sales now is that like a normal level that we should expect moving forward, do you guys see that kind of taking up or not or how should we think about that moving forward.
Kenneth Meyers: So great question Alan, one that I can’t give you a lot of information on. They’re very popular with consumers and what we’ve actually seen is over the last couple of week’s kind of hanging the 40 to 45% range, kind of stabilizing there. That’s – whether it changes dramatically over the next few months or not we’re just going to watch. This is a case of making sure that we can give consumers the products that they want and they get to choose.
Unidentified Analyst: All right. Thank you. And then just one last follow-up I think kind of looking at the market overall. I think we’ve seen Verizon get a little bit more aggressive in terms of pricing and responding to some of the offers how do you guys see, some of the competitive dynamics obviously I know Sprint clearly doesn’t really compete with you guys in many of your markets but how do you guys kind of see your competitive positioning and your competitors reacting in the fourth quarter moving forward.
Kenneth Meyers: Well I think we are positioned well right now competitively. Our biggest competitors are the two biggest guys in industry, that’s who we have to watch. I think lot of the moves have been made recently have been controlled moves to try to make sure that we are able to monetize all the explosive data growth this industry has seen, that’s where we’ve – that’s what the future is all predicated on, so I think we’re doing fine. What we see in the fourth quarter is always aggressive and interesting and we just have to wait and see how the quarter plays out.
Unidentified Analyst: Got it. Thank you guys.
Operator: Thank you. At this time I will turn the floor back to management for closing comments.
Jane McCahon: I would like to thank everybody for joining us today and please get back to us if you have any additional questions. Happy Halloween.
Operator: This concludes the teleconference. You may disconnect your lines at this time. We thank you for your participation.